Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Royalties 2022 First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. Please be aware that some of the commentary may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. After the speaker's remarks, we will have a question-and-answer session and instructions on how to queue up will be provided at that time. I would now like to turn the conference over to Mr. Watson. You may begin your conference, sir.
Nolan Watson: Thank you, Michelle. Good morning, everyone, and thank you for calling into this 2022 Q1 earnings call. We're pleased to be able to once again talk about record results. And in a few minutes, I'm going to hand it over to Erfan Kazemi, our CFO, to talk about the specifics of the Q1 results. As many of you are aware, last week, we announced two company transforming acquisitions totaling US$1.1 billion. And because of those transactions, we're excited that in addition to these record revenue and cash flow results this quarter, we'll now be expecting new revenue and cash flow records going forward for years to come. When we announced these transactions last week, we went through a comprehensive presentation at that time, and therefore, I won't be going through it on today's call, but I would like to use this opportunity to remind everyone of a few key details of what the new Sandstorm will look like to help investors better understand what they can expect from our financial results in the future. We really do believe that with these acquisitions, Sandstorm will be the go-to mid-tier streaming and royalty company. Not only will it be approximately 90% precious metals revenue but we have what I believe to be a portfolio with the highest quality assets underlying at streams and royalties in terms of how low cost the underlying mines can produce their primary product for. In fact, 64% of Sandstorm's production will be coming from assets that produce in the bottom quartile of total all-in sustaining costs. Our portfolio is also now the most diversified in the entire industry with only 38% of our NAV coming from our top five assets. Even the majors, average 65% of their NAV coming from only five assets, which when you think about it is not really diversified. And finally, we have the highest amount of growth now built into our portfolio. As a quick reminder and I won't go into detail on this morning's call, but the two transactions are an acquisition of one of our peer streaming companies called Nomad for an all-share deal that was valued at approximately US$590 million on announcement as well as a US$525 million acquisition of a portfolio of royalties from a company called BaseCore. Both of these portfolios are built on high-quality, low-cost, long-life mines. And we're very pleased to be bringing them into our portfolio. It's exciting that Sandstorm will now be the largest, highest growth and most liquid material royalty company. I've been talking to many of our institutional investors since the announcement of the transaction, and 100% of the institutional shareholders that I have talked to are in favor of these deals. So, it's rewarding to see that despite the broader stock markets falling apart, despite all gold companies trading off, including and especially Sandstorm. Our institutional investors are very supportive of these deals, and they very much like what the new Sandstorm is going to look like. And speaking of what the new Sandstorm will look like, you can see from this chart that Sandstorm will now be the largest intermediate royalty company by production. But we also have a lot of growth to go before our growth year slow down and we become like one of the majors. I believe we're moving into the most rewarding phase of Sandstorm's life, where we are large enough, strong enough and diversified enough to be a stable and profitable company, but we still have enough accretive growth ahead of us to be able to add further value to shareholders in the years to come. Once we close these acquisitions at $1,800 U.S. gold prices, Sandstorm's cash flow after tax will be both substantial and diversified. And by 2025, our cash flow is expected to exceed US$180 million per year. And it's my expectation that our actual cash flow will be even higher than this for a couple of reasons. Firstly, because I expect commodity prices to be even higher than they are now, but secondly, because we're going to be continuing to buy strength and royalties between now and then. So with that, I'll hand it over to Erfan to talk about the quarterly results, but I hope that you can tell that I'm both proud of what Sandstorm has become. And upon closing of these acquisitions, Sandstorm will be the largest, the highest gross and the most liquid mid-tiers driving royalty company in the world. Erfan?
Erfan Kazemi: Thanks, Nolan. It was certainly an exciting first quarter for Sandstorm with a number of big announcements for the Company. It was also another quarter where Sandstorm broke a number of records. Let's look at some of these new records in more detail. If you're joining us via our webcast, this first slide shows the revenue and production numbers from the last four quarters. During the first quarter of 2022, Sandstorm realized record revenue of $35.4 million and sold 18,741 attributable gold equivalent ounces, also a new record. This compared to revenues of $31 million and approximately 17,400 ounces in the same period of 2021. The increase in revenue was due to a number of factors, including the additions of the Vale royalties and the Vatukoula gold stream. The Vale Royalties were added to Sandstorm's portfolio in June of last year and the Vatukoula gold stream began making deliveries to the Company in December. The increase in quarterly revenues was also part due to the rise in commodity prices when compared to the same period in 2021. In particular, a rise in diamond prices increased royalty revenue attributable to the Diavik mine and an increase in the selling price of copper contributed to higher revenue from the Chapada copper stream. The Chapada mine also had a 13% increase in the number of copper pounds sold. This increase in revenues was partially offset by some decreases in production of certain assets, which I'll touch on in a moment. It's exciting to see another record quarter for Sandstorm, and this is before we had announced the transformative acquisitions that Nolan described. Subject to closing those transactions, Sandstorm has increased its 2022 production guidance range to be between 80,000 and 85,000 gold equivalent ounces, increasing to 155,000 ounces in 2025. It's clear to see that this is shaping up to be a significant season of growth for Sandstorm. On the next slide, you'll see a summary of the first quarter results compared to the same period in 2021. Revenues and attributable gold equivalent ounces were up by 14% and 7%, respectively. The $35.4 million in revenue came from $22 million in sales and $13.4 million of royalty revenue. Moving down the list, the average realized gold price from the Company's gold streams for the first quarter was $18.87 per ounce. The average cash cost per attributable ounce was $283, which resulted in cash operating margins for the three-month period of $1,604 per ounce. In a time when we're seeing increasing inflationary costs on all fronts, it's remarkable to see operating margins like this. And I think it's a testament to the royalty business model. This quarter, cash flows from operating activities, excluding changes in noncash working capital, was up 16% from the first quarter of 2021 at $26.7 million. It represents another new record for Sandstorm. Finally, net income was $9.1 million, which is an increase of about 80% when compared to the same period in 2021. This was primarily driven by the increase in revenue as well as an increase in the gains recognized on the revaluation of the Company's investments that go through the P&L. As you may know, Sandstorm began paying its first dividend this year and recently paid the second quarterly dividend out to shareholders. We're very pleased to be able to add another way to allocate capital back to shareholders. Looking at the contributing assets for the first quarter, we see the Yamana silver stream as the largest producer, which is on the Cerro Moro mine at approximately 4,500 attributable gold equivalent ounces. Next to Cerro Moro is the Chapada copper mine with approximately 3,200 ounces, followed by Relief Canyon, the Vale Royalties and Diavik, which I discussed earlier. The increase in gold equivalent ounces sold compared to the first quarter in 2021 was partially offset by a decrease in ounces sold from the Santa Elena mine and the Karma mine. The decrease in Santa Elena was partly due to a decrease in production at the mine as well as the timing of sales. At Karma, the decrease was primarily due to the conclusion of the five-year fixed delivery period in accordance with the terms of the gold stream. Sandstorm Stream and the Karma mine is now at 1.6% of production. Portfolio diversification has been a key tenant underlying the previously discussed announcements this year. As these transactions close over the course of 2022, I expect this list will look very different a year from now. We'll be adding more high-quality and low-cost assets to Sandstorm's portfolio that I think will nicely complement these existing royalty and stream assets. The next slide provides a breakdown of the quarter's attributable gold equivalent ounces by region. Sandstorm's production continues to be largely weighted towards mining assets located in the Americas, with South America contributing nearly 2/3 of production. Approximately one quarter was attributable to North America, of which 18% came from mine in Canada. Finally, I want to mention the upsized credit facility that we announced alongside the BaseCore-Nomad transaction. Sandstorm has a commitment to upsize our existing revolving credit facility to US$500 million. In addition, we'll have $125 million uncommitted accordion feature for total credit capacity of US$625 million. The upside is conditional on meeting the closing requirements for the BaseCore transaction and the accordion features contingent on closing the Nomad acquisition. The credit facility also maintains the sustainably linked incentive pricing, which we announced last fall, a first for a royalty company. This increase in credit capacity ensures that Sandstorm continues to be positioned for future growth even with the announcements we've made this quarter. And with that, I'll turn the mic over to Dave to highlight some of the new assets included in the transactions we recently announced. Dave?
David Awram: Great. Thanks, Erfan. Obviously, a big quarter for new acquisitions, lots of new assets in our portfolio. It's been a busy last six months for -- of travel for me and the sandstone technical team as we were lucky enough to see a bunch of these impressive assets in person. I'm actually in South Africa right now, attending the mining and data and getting a chance to speak to the operators of our new South African assets in Bloemhof, Platreef, both of which I'll speak about today. But first, I'd like to talk about Antamina, the main asset of the BaseCore package of royalties. For those that don't know about this amazing asset, it's jointly owned by Glencore, BHP, Teck and Mitsubishi. A skarn deposit that produces primarily copper and zinc concentrates, but is a true polymetallic mine that ranks within the top 10 mines in the world in terms of production volume. Getting a chance to meet the elite team that operates the mine was a great pleasure as was meeting their executive and ESG teams in Lima. The mine is located in the Ancash region of Peru and is commonly regarded as the best mining operation in the entire country. The management team is proud of the fact that they are regarded as a top mining employer and have a great relationship with all the local and regional communities. Since the mine started commissioning almost exactly 21 years ago, this has always been a world-class mine. With a large expansion to 2010, Antamina is now the second largest producer of silver in Peru in addition to the sale of copper, zinc, lead and molybdenum products. All of the concentrates produced are transported to port by an approximately 300-kilometer pipeline rather than by truck or train. This is one of the key aspects to the low-cost production of the mine. The current reserves are limited by tailings storage, which is being addressed by the Antamina team. With the options they are looking at, there is likely to be ample space to provide decades of room for tailings, which is good because the team is already planning additional expansions. With decades of open pit material still available, Antamina is preliminary planning future underground mine to extend the mine life even further. The Antamina mine is a true treasure for the Peruvian people and Sandstorm is proud to have a small stake alongside them. Moving on to Platreef. This project is located on the northern limb of the famous Bushveld Complex of South Africa and sits near to some of the largest platinum group element producers in the world. Platreef is an enormous platinum group metal deposit with significant gold, nickel and copper content as well. The deposit has a PGM plus gold equivalent measured and indicated resource of close to 42 million ounces and another 53 million ounces of inferred resources. Reserves are just a fraction of this resource, but already the project has a 24-year mine life. Production is currently set to begin in Q3 or Q4 2024 and with Shaft 1 completed already and Shaft 2 construction has begun. The first lateral blast -- our blast of lateral development was completed in April 2022 and Ivanhoe is planning on spending $150 million for the remainder of 2022. On the ESG front, Platreef will become Africa's first electric-only mining fleet with equipment already ordered. Also, they'll rely heavily on solar power throughout the development and mining with an array beginning to be installed this year. With 770,000 tons per annum throughout plant -- throughput planned in Phase I, 3 million tons per annum in Phase II and future potential plans of up to 12 million ton per annum throughput, the Platreef operation will be amongst the largest PGM lines in the world, potentially producing more than 24,000 tons of nickel and 1.1 million ounces of palladium, rhodium, platinum and gold per year. The Platreef projects ore body is up to 60 meters stick in places with 26 meters on average. This ore body thickness allows for low bulk tonnage and safe mining methods with potentially much higher productivity levels than neighboring PGM lines. It will be no small task getting this asset into production, but fortunately, the project is being built and operated by one of the most accomplished mining groups in the world today. The Ivanhoe mining team is discovering is responsible for discovery in developing some of the best worldwide mined projects for the last 25 years, and we hope Platreef will rank amongst the top of those. This is a great asset to add to our portfolio. So the last slide, I'll touch on a few of the other highlights in the portfolio Sandstorm is purchasing. On the precious metals side of the equation, the first one I'm excited to talk about is the Robertson project within Nevada Gold Mines Cortez complex. This is the latest mine to be developed in the Cortez complex was first production expected in Q4 2024, conditional on the permits. The operators don't elaborate publicly too much on the asset, but Barrick does categorize this as a Tier 2 gold asset which is defined as a gold project designed to deliver a minimum of 10-year mine life, annual production of at least 250,000 ounces of gold per year and total cash costs over the life of mine that are in the lower half of the industry curve. Greenstone is an asset in Ontario currently being constructed by Equinox Gold. With over 400,000 ounces of annual production expected per year in the first five years, Equinox sees this asset as a key part of their growth portfolio, and we expect to see lots of news as they build one of Canada's largest gold mines. Bonikro is an ex-Newcrest asset in Cote d'Ivoire that is operated by a private company, Allied Gold. With the current layback underway, new resources are exposed and it should make a big contribution to the ounces delivered to Sandstorm the next few years. Blyvoor is a reemerging mine with an exceptionally well experienced team and a tremendous expansion potential. We have high hopes that this project continues to ramp up and seize its past glory in the South African mining space. On the copper side, it's hard not to get excited about the Caserones in Chile, which is operated by the Japanese group, Nippon. This mine lies near the emerging new district that straddles the border with Argentina that the lending group of companies has been so successful in making discoveries over just the last few years. And the El Pilar project operated by Southern Prove Copper is expected to be getting a $310 million spent on its development by 2023 and is a key part of their near-term growth. Lastly, it would behoove me not to mention the largest copper mine in our home province in British Columbia and Teck Highland Valley. Despite Sandstorm being 13 years old, this is the first cash flow and royalty in the portfolio that comes from our home province. And what in mind to have that cash flow from. Anyhow, thanks for bearing with me on this brief overview. As you can tell, we're really excited about these in all of the assets in our new portfolio. It's great to have so much growth on such high-quality asset assets. It helps set us up wonderfully an expose phase of growth beyond even this. So with that, I'll pass over the call to the operator, Michelle, for the Q&A. Please feel free to ask questions about any of our royalties and streams.
Operator: [Operator Instructions] Your first question comes from Trevor Turnbull of Scotiabank. Please go ahead.
Trevor Turnbull: I just had a couple of questions on timing and next steps. The first with respect to Hod Maden. You mentioned you're moving into that final phase of permitting since you've gotten the environmental approvals. And I just wondered, if you could provide a little more detail on what that entails and maybe give us a sense of the milestones we should be watching for with Hod Maden?
Nolan Watson: Yes, absolutely. There's a few things that will be going on. One is they're going to be working on getting the finalization of the forestry permit, which by all accounts is going well. My understanding is they expect to get that by the end of this year based on the conversations with the government. In fact, they're already getting their miner permits from the Department of Forestry on some smaller things like having to upgrade electrical transformers and those types of things. So, the permits are already coming in from that department, which is a good sign. They're looking to complete putting together their syndicated debt providers and our process is well advanced. And then they're looking at pulling the trigger on the long lead items beginning construction towards the end of this year, including building of the tunnel. That's an important milestone to watch for. And we can actually see in advance, when they give us cash call notices, if they're planning on actually doing those things. And for the first time ever, they actually have given us the cash draw notices and this is first that won't be item money. So, things are tracking pretty well there.
Trevor Turnbull: Great. And maybe that transitions a bit into my question about Horizon Copper. Just curious on that transaction, you've said that you expect that to close in the second half of this year. There's a number of details that need to be completed. I just wondered -- and forgive me if you've already answered this, but do you have any further color on the timing of, say, Q3 versus Q4 on getting that finalized?
Nolan Watson: Yes, the guidance most in the weeds with respect to that is -- Erfan, so maybe -- Erfan, you want to?
Erfan Kazemi: Yes, I'd be happy to answer that. There's a couple of things that are going through the process. One is regulatory process with the TSX fee, which is going well. There's a shareholder vote required with Horizon Copper's existing shareholders. And so we anticipate that once that shareholder meetings held the closing of the transaction with respect to the Hod Maden [indiscernible] and the Antamina will occur towards middle to late Q3.
Trevor Turnbull: Okay. So obviously, the shareholder vote for the Horizon Copper entity would be happening, obviously, in Q3 some time? So, it sounds like it's all on track to happen fairly soon?
Erfan Kazemi: Yes, it's going well. Certainly, the announcement of the Antamina transaction kind of resets the timetable respective to having that shareholder vote. But we've had a lot of cooperation with the Venture Exchange and things are going well.
Operator: [Operator Instructions] There are no further questions from the phone lines. I would like to turn the conference back over to Mr. Watson for closing remarks.
Nolan Watson: Great. Thanks, Michelle, and thanks, everybody, for calling in to today's call. And as always, we're here and ready to answer questions if you have any follow-up questions. Thank you very much. Have a great day.
Operator: Ladies and gentlemen, this does conclude your conference call for today. We would like to thank you for participating and ask that you please disconnect your lines.